Trey Campbell: All right. Well, welcome everyone to Luminar’s Fourth Quarter Business Update Call. I'm Trey Campbell, Luminar’s, VP of Investor Relations. With me today are Austin Russel, and Tom Fennimore, our CEO and Founder and Chief Financial Officer.  As a quick reminder, this call is being recorded and you can find the earnings release and slides that accompany this, call it luminartech.com/quarterly review. In a moment, you'll hear brief remarks followed by Q&A. But ahead of that, we're going to take five minutes so that you can watch our next installment in the path to series production video series. The URL for that video is on the screen right now. So please take a moment and we'll rejoin the call in five minutes. Just one more time for anyone who joined a little bit late. Welcome to the call. We're taking five minutes to give you a chance to watch our new path to series production video. You can find the URL right there on your screen. Please take a look at the video and we're going to be back in four-five minutes. Well, I hope you enjoyed the video. Before we begin the prepared remarks and Q&A, let me remind everyone that during the call, we may refer to GAAP and non-GAAP measures. Today's discussion also contains forward-looking statements based on the environment as we currently see it. And as such does include risks and uncertainties. Please refer to our press release and business update presentation for more information on the specific risk factors that could cause actual results to differ materially.  With that, I'd like to introduce Luminar’s Founder and CEO Austin Russel. 
Austin Russel : All right. Hey. You guys see and hear me okay? 
Trey Campbell : That’s, good. Awesome. 
Austin Russel : Good stuff. Okay. So let's, let's get to it. Well, I will think thanks, Trey for the intro. Hopefully, you all enjoyed a chance to be able to look at the video there and as part of the path to production series. There's a lot that goes into it. But we thought it'd be great to be able to just jump right in or live here from Orlando, and we'd love to be able to welcome all of you guys to our quarterly business update.  So with that, jumping right in the fourth quarter was certainly an incredibly strong finish to our first year as a public company and definitely the most successful in our history. We met or beat all the five key company level milestones that we've laid out towards the beginning of the year, which were pretty aggressive as we've seen by many. But we successfully met even the targets that we raise guidance on midyear like for example, the number of major commercial wins.  So we continue to pioneer this industry with landmark first for products partnership to in securing this past year, the industry's first standardization deal with Volvo. And of course, adding to our roster of major commercial wins, including leaders like Nvidia Polestar, Daimler Truck, Pony AI, Airbus, Mobileye, SAIC, and of course, most recently the major winner with Mercedes-Benz. So we've continued focus on intensive execution on both the hardware and software standpoint in preparation for series production. It started with the team where we've effectively doubled the size of our workforce and had the best in the industry functional leaders joined the team as you may have seen over the year to drive our company forward.  So additionally, throughout the year, we partnered with key supply chain manufacturing and vehicle integration partners like Celestica, Fabrinet, Webasto, and Inalfa to help derisk the holistic execution and scaling for Iris into series production.  On the software side, we've also successfully developed and executed our Sentinel Solution with an Alpha version, culminating in the demonstration of our proactive safety and highway autonomy capabilities live at CES just this prior month. So people are taking notice and it's beginning to shift the direction of conversation of what's possible with this technology and how can ultimately be standardized to achieve the vision of the uncrushable car.  So from a financial standpoint, we also couldn't be in a better place as we continue to exceed our targets. We've more than doubled our revenue year-over-year largely from the new series production contracts the development work associated with that, as well as increasing our forward-looking order book by 61%, the original target we had this 40 and then increased it to 60. And we exceeded that.  Of course, we have a very strong war chest of capital liquidity with $792 million in cash, following $254 million of stock repurchases as well. So still incredibly strong position and we're bullish on ourselves over the long-term. We have more conviction than ever, and as well as in our long-term unit economic targets. And excited to say that we've now also completed all of the core development milestones in our first series production contract, which is a huge step forward on the path to series production. That's a new update there.  So with that, I'd like to take a moment, we can talk through a few of the key progress updates, last quarterly update. And then I'll hand it over to Tom to review some of the specifics on the milestones, financials and 2022 business outlook before we're jumping into Q&A.  So first, a little bit more detail on execution, like there are a little hardware and software. So over Iris LiDAR, we had a really strong finish in Q4 with the kick off of a significant phase and the path to series production. So we're now in the C-phase with Iris. We built the initial units at the end of the year for this latest phase. And over the course the past couple months, we've been intensely focused on industrializing product in process.  We're now working with over 100 key automotive grade suppliers for the production intent design and supply chain, which was a massive undertaking. It's a huge switchover given this is a relatively nascent industry. And we have to be able to help work to mature the supply chain. So that's something it's been a big focus.  We continue to target being series production ready for both the hardware and of course software standpoint by the end of this year. And we know how much our partners are depending on us to deliver and deliver at the scale that's needed to enable the next generation safety and autonomy for the industry.  So when it comes to Sentinel, I'm proud to say that we've conducted live on-track demonstrations as I previously mentioned, for a Sentinel Alpha solution at CES, including the proactive safety and highway autonomy capabilities. So we actually -- will Luminar-equipped car versus some of the modern vehicles, the latest camera based ADAS technologies that are out there. And the clear result is the high competence Luminar detection is the avoidance of these kinds of collisions, whereas the low competence detection from today's systems are just not able to reliably come to a safe stop, even avoid some basic safety case scenarios, much less particularly complex scenarios or at higher speeds, or even at night. And by the way, the majority of accidents happen at night.  So components of Sentinel already used by our customers today by many of them. And it's only getting better and better every day. So we're targeting a beta release of Sentinel before year end. So ultimately, it's the combination of the sensor and the software that will help accelerate the ushering of the next generation of vehicle safety and autonomy for passenger cars and trucks.  So I think some of you may have questioned around the recent win with Mercedes-Benz. So we can go in a little bit more color on that and some of the other events that happened this past quarter from a personal standpoint. So obviously, the significant one, Mercedes, which was announced just towards the beginning of this year, we're hot off the heels of this landmark series production win, having -- with them having partnered with Luminar, to enable enhanced safety and autonomy for the next generation production vehicle platform.  So Mercedes really represents the pinnacle of the automotive industry as the leading luxury vehicle OEM. And its represent big validation of both our technology as really the first and only system that can meet all these key performance requirements to enable these capabilities. And of course, validation reinforcement at the company level as we work directly with them to deliver the solution, which by the way, is a unique aspect from a business and relationship standpoint of how to work directly with them, rather than the traditional model of being required to license your technology to a traditional automotive legacy supplier to be able to provide the solution, which optimizes -- in our case, the product economics, et cetera.  But anyway. I think the only other example is probably in recent history that's relevant is Nvidia. But as you guys know, we're working closely with Nvidia as well.  So one special aspect of this deal also relates to data, which we will be able to access the data from both the development vehicles as well as the production vehicles for continuous improvement and updates such that our technology will only get better and better overtime. And that's hugely significant.  And all contributes to the economies of scale from a hardware and software standpoint, but for product and technology, which is ultimately required to be able to make this viable for the industry. It's not just tens or hundreds of vehicles that you need, you need tens to hundreds of thousands to get out on the road to achieve unit economics at scale that's really necessary. And this only further enhances that.  So our mission for the start has been to democratize safety by integrating Iris into consumer vehicles. And this deal with Mercedes is really just another example of us continuing to execute on that strategy.  One last thing as well that you guys may or may not have seen was at CES, we actually launched blade for trucks. which was just a for the first time conversion of what we hadn't showed off as a long-term vision at Studio Day earlier this past year about what the future of autonomous trucking could look like. So it's a pretty, pretty sleek integration, you can see some photos of it in the deck that was also provided as part of the quarterly update. Made it real made it happen. It's not just a vision anymore, it's a product.  So with that inclusion, before I hand it off to Tom, I want to underscore purpose as a company. I mean -- we know our technology is going to have a profound impact on transportation and society as we know it. And we're in this for the long haul. And to that extent at CES, we presented a 100-year vision for the company, which our ambition is to be able to have the opportunity to save 100 million lives, and 100 trillion hours of people's time over the next 100 years.  And this is possible if we see through the successful standardization of this technology, and the eradication of accidents out on roads, solvable problem, we just need to make it happen. So, obviously change the world. And it starts and ends with relentless execution. And we're well on our way towards this vision of delivering the uncrushable car by making Luminar’s life saving capability available both on the consumer side and some of the biggest automakers on the planet already starting to adopt it into series production, of course.  So with that, I'll hand it over to Tom, discuss how the execution for the year track to our 2021 business milestones that we laid out previously, as well as our outlook for 2022.
Tom Fennimore : Good. Thank you, Austin. Let's start by reviewing our 2021 milestones and financial performance. I'm pleased to say that we achieved all five of our 2021 milestones. Our first milestone was to enter the C sample phase, which we did in Q4 by producing initial C-sample sensors. During the first few weeks of 2022, we went through extensive testing and review of these initial sensors, as well as our manufacturing process.  As we said in the past, manufacturing complicated opto electronic devices in series production scale, and that auto grade quality is not an easy task. And it's never been done before to this extent. Our team has been working around the clock to make the necessary industrialization advances, including working with over 100 suppliers to ensure automotive qualification and scalability.  One key financial metric that illustrates the progress we made is that we completed all the core development milestones under our first awarded series production contract in Q4. This allowed us to fully recognize the remaining program revenue within this contract during the quarter.  Our second milestone was to deliver an Alpha release of our Sentinel software product. We successfully achieved this and publicly showcased our proactive safety and highway autonomy capabilities at CES.  The third milestone was to achieve six major commercial wins, a target we doubled the middle of last year. This milestone was achieved with our Nvidia and Polestar announcements in Q4. This tally excludes other important customer wins during the year, including Embark, Kodiak, ZenSac  and Robotic Research.  Our fourth milestone was to grow our forward-looking water book by at least 60% an increase from our original 40% target. We ended 2021 with an order book size of $2.1 billion up 61% for the year.  Our final milestone was to end 2021 with a greater cash balance and where we started, which was $486 million dollars. We ended the year with $792 million in cash and adjusting for the convertible notes we issued in December, our year-end cash balance would have been approximately $500 million. On to our 2021 financial highlights. Revenue for Q4 was $12.3 million, up over 400% year-over-year in 55% sequentially. The increase was driven by higher program revenue as we perform development work for our customers to prepare for series production. Program development revenue comprised over two thirds of our 2021 revenue. Because of our industrialization progress, we incurred a $1 million contra revenue charge during Q4 related to previously issued customer warrants. With the inclusion of this contra revenue charge. Our 2021 revenue at $32 million was at the top-end of our guidance.  Our non-GAAP gross loss for Q4 was $3.9 million. Our contribution margins continued to remain healthy. Of the approximately $16 million in non-GAAP COGS in Q4, approximately $14 million was non-recurring engineering expenses in fixed manufacturing cost. We remain on track to achieve our medium and longer term series production bound targets which are critical to meet our longer term goals.  Our Q4 cash spend was $56 million increasing support are faster than expected commercial win rate, or Q4 cash spend was higher than the current run-rate due to an increase in working capital to both support the C-simple ramp up, as well as approximately $10 million of customer payments which incurred in January instead of December. In December, we raised $625 million in convertible notes and concurrently announced the $312 million share repurchase program. We also purchased a call spread overlay with the intention to negate any dilution from the convert, assuming our stock price reaches $30 per share in the next five years.  The net result of this transaction has provided us with additional capital to accelerate our growth at very attractive terms. To date, we have repurchased $254 million of our stock.  Turning now to our 2022 milestones and financial guidance. Our first milestone for 2022 was to achieve series production readiness for Iris LiDAR and Core software by the end of the year. We also expect to build up the series production manufacturing line and automation equipment necessary to meet our 2023 OEM provided production targets.  Our second milestone is to deliver the beta release of our full stack Sentinel software solution by year-end. Our third milestone is to grow our cumulative major commercial win total by at least 40% from our 2021 year-end total of nine. We expect these new ones come from both new customers as well as new programs with existing customers. We already publicly announced one major commercial win in 2022, with a recent Mercedes-Benz announcement. Our final milestone is 40% growth in our forward-looking order book from our 2021 year-end total of $2.1 billion.  With regards to 2022 financial guidance, we expect revenue this year to be at least $40 million. We expect our net cash spend for the year to be moderately higher than 2021’s total of $155 million. We also expect our operating loss for the year to be higher than our net cash spend. We expect our net -- we expect our share count to end the year in the mid-360 million share range.  One final note on 2022 revenue. Program revenue is expected once again to be a significant contributor. This program revenue can be non-linear from quarter-to-quarter depending upon the level of work performed, new development contracts rolling on and the completion of development work as we approach series production. As mentioned earlier, we recently completed revenue milestones in our first series production development contract. Because of this won't be dynamic, we expect Q1 2022 revenue to be incrementally higher than our Q1 2021 revenue $5 million, the lower than our Q4 2021 revenue.  In closing, I'd like to thank the entire Luminar team for a great 2021 and a strong start to 2022. Trey, let's move on to Q&A.
A - Trey Campbell : Thanks, Austin and Tom. As we move to Q&A, I like to tell the analyst if you can please have one initial question and one follow up question that will give us a chance to get through all of the analysts and get a chance to ask a question.  So with that, let's start with Joshua Buchalter from Cowen. Joshua, you ready to ask the first question?
Joshua Buchalter: Yeah. First Trey. And congrats to the team on hitting all those milestones. First question, anything you can share about the composition of the 40% order book growth? In particular, Mercedes was announced at the -- after the year started. So are you able to share how much is from Mercedes versus expected ones for future announcements? 
Tom Fennimore : Yeah, so to be clear, Joshua, the $2.1 billion that we had at the end of 2020 comprises the business that was one whether it was publicly announced or not publicly announced at that time. So in that $2.1 billion is Mercedes we're not breaking out, how much of the order book is each customer? So we haven't gone into that level of detail, nor do we plan to. 
Joshua Buchalter: Got it. Okay. So Mercedes was in the 2.1. Thank you. That's helpful. And then in the video, I noticed you demoed a feature called highway comfort. Is that new -- is that a subset of highway autonomy? And then bigger picture, you have wins for software, but you're also you know, progressing from alpha to beta. So just wondering how baked is the software solution as you're bringing into customers versus how much is being jointly developed? Thank you. Congrats again.
Austin Russel : This is good. I think -- when it when it comes to the software side is definitely going to be a critical aspect of the future and what we deliver. The highway comfort, so to say is -- you can say it's the German term for a highway autonomy from when it comes down to it. It really starts as a highway assist type system and then evolves ultimately to be able to be hands off eyes off, you know holistic system as it relates to when it's fully integrated with the OEM.  You get the proactive safety capabilities really from day one, though when it comes to an ADAS feature per standpoint and rollout in terms of what's had. And this is where, objective is to be able to see these engagements with OEMs continue to expand and also be able to help enhance and accelerate the roadmaps with our software offerings to accelerate their own.  So that that's going to be an important part. And I think that what we showed at CES shows that this isn't just a pie in the sky thing. This is something we're showing off the things that everyone's been talking about. So that's an important thing to do if we're going to want to make this industry happen with all the different OEMs to ultimately realize this system and technology. 
Joshua Buchalter: Thanks, guys. 
Trey Campbell : Thanks, Joshua. The next question comes from Aileen Smith of Bank of America. 
Aileen Smith: Hi, guys. So first question, I wanted to check and clarify that your definition of achieving series production readiness on Iris hardware and software. Is the same as actually going into series production in 2022? And I know it may be splitting hairs a bit in semantics, but obviously, the investment community has been very much anticipating you going into production and commercializing in 2022. And just given supply chain and logistics constraints, I want to make sure that the definition of itself remains intact?
Austin Russel : Yeah, I think that that's the full intent in terms of what we're talking about here. I think that the only caveat is that obviously, we can't speak on behalf of the customer. So there is a distinction between us going into series production and ultimately, the customer actually integrating onto their vehicle in consumers hands on roads, which isn't 100% controlled by us. We're about -- what -- I mean there's nothing that's out of the ordinary in terms of the expectation there, obviously, that. But when it comes down to it, we're talking about milestones for Luminar that are in our control for this. And that's probably not the best wording. But that's the full intent of what we're talking about.
Tom Fennimore : Yeah. And Aileen, just to clarify on that, our goal is -- we are going to be prepared by the end of this year, to make parts that are going to be capable to put on vehicles to be sold to consumer for series production. And I would say we have multiple customers that are kind of on that target to be in a position for SOP sometime around the end of this year.  So it's not like we're just relying on one party, there's actually multiple customers that are on that timeline plus or minus.
Aileen Smith: Okay, got it. That's very helpful commentary. And then I wanted to follow up on the commercial wins, and going to the prior question around the composition, do you think there's a greater likelihood that the commercial wins you're anticipating for 2022 come from entirely new customers, or rather that you transition over and lock down some major contracts from some of the customers that you've cited that have not major commercial wins, but some of those important wins like Embark or Kodiak or others?
Tom Fennimore : Yeah, I think it's going to be -- it's going to be, I would say a mix of new customers. And I think you see that with the one we have already this year with Mercedes-Benz, as well as growing business with existing customers where we already have major commercial wins. And you saw that last year with Volvo where we went from an option to standardization.  So I think it's going to be a mix of those two things. It's going to be new brand name customers like Mercedes-Benz and growing business with one of our existing customers where we have a major commercial with.
Austin Russel : Exactly. But -- and by the way, one of one side note as well, with the Embark and Kodiak examples and everything. We're going to continue to win those, but they don't -- they didn't -- we didn't qualify them at the threshold of a major commercial win. In terms of the major commercial ends, it's going to be significant.  But ultimately, the way that we see it is that there is a bit of a transition between -- it's really not just about winning and winning and winning and winning anymore. I mean -- the way that we see this industry playing out just for further commentary is that -- it's kind of like a 90-10 rule of like, the top-10% of programs are probably going to be delivering 90% plus of the value at least for the immediate perceivable future. And as a result, the focus is really all in on seeing through successful execution of those and seeing those, like the opportunity is just as much to realize the expanded value of the existing programs that are won rather than just winning new programs. So that's part of the significance also of what we're seeing.  I mean, obviously, we're not going to stop winning here, but I think that's also an important point just in terms of just the level of focus that we want to continue to have. And because, there are at the end of the day, thing things are not infinite. We have to pick winners as much as anyone else to.
Aileen Smith: Understand. That's very helpful color. Thanks for taking the question.
Trey Campbell : Thanks, Aileen. The next question comes from David Kelley at Jefferies.
David Kelley: Hey, good afternoon, guys. A couple from my end, and congrats on solid end of the year here. The six major commercial wins, can you just talk a bit about what that's meant with conversations and kind of bidding and getting into the door with other potential major OEM customers? How that's changed, as you've had other announcements.
Tom Fennimore : It's impacted a lot in a very positive direction, David. When you start to see not only the quantity of wins that we have, but when you start to see folks like Volvo, Polestar, Shanghai, Auto, Mercedes-Benz and others, putting their technology or putting our technology on their vehicles, starting around the end of the year, there's a real sense of FOMO developing in the other OEMs to make sure that they don't start trailing behind.  And I think there's one other important factor, David, which has been very impactful once again, in a positive way, in getting the attention of our customers and I would really say accelerating the talks. And that was the proactive safety demo that we've been doing. I know, we've released a lot of videos on there. And, for the automakers that didn't make it to CES as well as those that we were able to have one-on-one demonstrations with their after.  When they actually see real hand getting behind a car that has proactive safety in it, and a part of that doesn't, and driving it at the test dummies. I mean, it just -- it's a wow moment for our customers. And when we kind of walk them through that this is a technology that we developed internally at Luminar, not only the hardware and the software. And we have this ready to go around the end of this year. They're like, we got to get this on the vehicles very soon.  And so your point about the accelerating commercial wins is having a major impact. But I think actually going from having good PowerPoint slides about our technology, to actually having real life demos that work with fully integrated capabilities, that's just as impactful.
David Kelley: Okay, got it. Thank you. And then maybe one more, you hinted at kind of the software opportunity. But, just curious what you're hearing from potential customers? It's early days, and everyone's fighting for software within the autonomous stack and some OEMs are looking to do some of it themselves. So what are you hearing from your current customers or your potential customers as it relates to the software opportunity?
Austin Russel : So yep, so I think there's the fundamental aspect of it. And there's a layer of software, when it comes to some of the different aspects of perception all the way to like horizon control systems to simulation to the kind of things you need to do to make it a viable system just on top of the core LIDAR itself. And that's the kind of stuff that we're going to have series production ready, by the end of this year, and capable to go into production vehicles.  But when it comes to other layers on top of that, that's really why we made this big bet with Sentinel, to be able to build out the rest of this software stack. And do we see it is that, like I said, there's obviously some folks that are trying to do certainly in-house developments. But the reality is most of the software developments are still focused on Robo taxi systems or other types of alternative software approaches that don't directly relate to the kinds of systems that we're developing here.  So it's not really competitive in that sense. Look, the goal objective is actually to accelerate the adoption of this kind of technology to be able to add more value to it and to be able to really realize this holistically throughout the industry. This is going to be the accelerant to standardization.  So I think that's kind of how we're thinking about it in that context. And I think OEMs are seeing it in many ways. The extent of people are already adopting some of the components of Sentinel, that will be going into series production. And then it will just build and build on itself more over time as the software that we have matures.
David Kelley: Okay, great. Thank you.
Trey Campbell : Thanks, David. Next question comes from Itay Michaeli at Citi.
Itay Michaeli: Great, thanks. Hey, everybody. Just a question. Tom. I think back on the Q2 call if I remember correctly, you noted that I think 60% of the original 2025 revenue had already been booked. I was curious if you could update that based on your order book today? And maybe where you think you might be if you hit your 2022 objectives on that?
Tom Fennimore : Yeah, so it's a good question, Itay. And we're planning later in 2022, to have an investor and analyst forum where I think we're going to be updating our longer term plan, because it's been a couple of years, since we actually done that.  What I would say is, I think the number I mentioned over Q2 was that we were over half of the way there to some of our 2025 volumes. And I think that that is still a consistent number. It's too early for me to kind of forecast where I expect that to be in 2022. But the one thing I would say, is the level of optimism we have in the business as well as where we are today is significantly better than where it was in 2020.  And I think you kind of saw in 2021 as part of our spec process, we were forecasting revenue of $26 million, we came in at 32. For 2022, I think we were forecasting from memory $35 million, we're now guiding the $40 million. And I think that that really exemplifies that we are kind of meeting or beating the initial plan that we send out.
Itay Michaeli: Great, terrific. And just a follow up. Also you mentioned, most accidents occur at night, I think there's a recent IIHS report testing a bunch of the different ADAS pedestrian detection systems at night, I think they all kind of fell short. I'm curious kind of how quickly the industry is moving on that front from a safety perspective. And, I was hoping if you could share maybe a bit more feedback from the OEM customers from your CES demos, and just kind of what you're seeing along those lines?
Tom Fennimore : It's amazing, actually. Honestly, I think people are blown away by just two things. One, how effective the system that we have is, and to just how ineffective systems are today. I think there's a little bit of -- how do we say, self-denial, sometimes it happens, where it's like, my car doesn't do that for whatever, CEO of ex-OEM  and they hop in the car, and like, we actually have one of them here. You can try it out. And of course, the results are no different.  There's plus or minus little differences, but it's not fundamentally different. And that's the thing that's just completely resetting the paradigm behind this. I think there's just been so much pose that people have come up with a term like a ton of washing, things of brainwashing behind those. And what the real capabilities are behind this. And the reality is, is that it's just not even remotely close to where it needs to be today, much less with just basic camera click system.  So, it's not a big surprise at the end of the day, to those deep in the industry or to NITS  and other things. It's just that -- the safety bar has been so incredibly low, people have just gotten used to it. Like passing the tests that are required for five safety stars is not difficult, when it when it comes to these kinds of assisted driving systems for the actual collision avoidance prevention. And in some cases, if you fail a doubt, but if you pass on enough other things that you can still get these significant ratings.  So, I think that's where there has to be a fundamental reset, and will be a fundamental reset from both an OEM perspective, a consumer perspective and a regulatory perspective over the next few years, that will accelerate the standardization of this technology. And that's where you see the breakthrough. Again, as it relates to our model. I mean, we only model in about 3% to 4% market penetration by the end of the decade for what $5 billion revenue $2.5 billion EBITDA business with the $60 billion forward-looking order book. So to the extent we do better than that, which we think we can, I mean, that's how you create the breakthrough value.
Itay Michaeli: Perfect. That's all very helpful. Thank you.
Trey Campbell : Thanks, Itay. Next question comes from Richard Shannon at Craig-Hallum. 
Austin Russel : Richard, you there? 
Trey Campbell : You’re on Richard?
Austin Russel : Richard, if you're talking, you're on mute.
Trey Campbell : We'll come back to Richard. We'll go to Mark Delaney at Goldman. 
Austin Russel : Mark?
Trey Campbell : We're going to go for third time -- 
Austin Russel : Easy, easy. Hey, Mark.
Mark Delaney : Yeah, thanks. Thanks very much for taking the question. I was hoping can you talk a little bit more on how important it is to Luminar for your customers to actually certify that the systems are level three. Maybe it's more just in terms of leading to follow on business, if these early deployments go well, they get positive data and they certify them as all three then that would just create the future follow-on orders. But is there any difference to you guys in terms of whether or not these systems are certified as level three capable for consumer use in the early phases?
Austin Russel : Well, I think there's two factors there. One for what it's worth, everyone has a different definition of L3 and there's a lot of say, level inflation that's continued to happen in the industry.  But the reality is it released to us. No, it doesn't, it doesn't really make any material difference on how people talk about these things. That's why we kind of generally avoid trying to talk about the levels all together. It's funny, the proactive safety capabilities for what we're doing is actually I mean, this is where people get really confused, but it's technically a level zero capability.  The reality is it just level zero was never actually fully solved for. People still get into accidents all the time, it doesn't count -- there aren't -- there's no such thing as ground truth detections today that can actually prevent collisions, but accidents are happening.  And that's where, honestly, a lot of the fundamental value that we're talking about here is provided. And even the majority of it probably actually -- not maybe definitely the majority of it right off the bat. I mean, that's part of the objective.  Now, of course, autonomous capabilities are only going to continue to advance over the course the next handful years, and over the decade. And Volvo recently announced, their rollout plans starting in California, and then expanding their on out for the autonomous features and capabilities. So that's going to be -- that's not slowing down at all. And solving the for the constrained highway problem, I think it's obviously gotten a lot more of a focus.  We see, a lot of companies trying to pivot towards working on exactly what we've been working on these OEMs have been working on for years. People going into pivoting into trucking and other stuff, for example, as well for that has that same kind of highway problem, obviously not the series production scale of cars.  We're working in trucking as well. But that said, that's the perspective that we have on that.
Mark Delaney : Okay. In any sense, I realize this is up to your customers. But do you have a better sense at this point as to how long customers may want to have these systems on roads before they're willing to certify hands off eyes off on highways, and in a wide city use cases? Thank you. 
Austin Russel : It's a great question. It really just depends on the safety case with each OEM and the specific road of this specific highway. And I think the objective is going to -- it's going to start on like divided, interstates, and it's going to go to undivided highways, and then it's ultimately going to go to, like surface streets like strobes type things, and eventually, it'll work its way over the course of the decade to urban environments.  So it'll take the time, but I think -- I mean, this is not like a thing that's like five or 10 years now. This is this is a matter of you're probably talking like a year -- maybe two years’ worth of validation out on roads depending on how conservative you are. But it's also not overnight, either. It doesn't just instantly flick a switch, you actually have to get the data at scale.  No one's ever done that, by the way before either. No one's ever had tens or hundreds of thousands of these kinds of cars driving around collecting this level of data. So obviously, their feeds back to us like in the case of the Mercedes deal that we're talking about, so that becomes pretty valuable, or extremely valuable.
Mark Delaney : Thank you. 
Trey Campbell : Thanks, Mark. Next question comes from Tristan Gerra at Baird.
Unidentified Analyst: Yeah, hi. This is Tyler in for Tristan. Thanks for taking the questions. Are automotive OEMs choosing the Nvidia drive platform bound to use Luminar if they decide to use LiDAR given that Luminar is part of that reference design? And what is the recently announced Nvidia Jaguar Land Rover partnership imply for Luminar?
Austin Russel : It's a good question. Unfortunately, I can't comment on programs from OEMs or tech partners of ours for whatever it may be. But we are we are partnered with Nvidia as noted. But can’t comment on that -- on anything specific there.  But I will say that working with key partners and platform providers has been a key part of our strategy holistically to be able to further accelerate market adoption.
Unidentified Analyst: Great, and then for my follow up with series production readiness expected by the end of the year. Can you talk about the expected revenue ramp of that? I know you're not going to provide guidance, but maybe can you comment on the linearity of that production ramp?
Tom Fennimore : I think it's fair to say that as we get to SOP around the end of this year that we would expect 2023 revenue to be significantly higher than this year. And we are not going to give any specific guidance for 2023 at this time, but we'll give some later this year.
Unidentified Analyst: Great. I really appreciate the time.
Trey Campbell : Thanks Tyler. Next question comes from Gus Richard at Northland. 
Gus Richard: Sorry, got it. Just real quick, operator. Could you talk a little bit more about your relationship with Nvidia? And, are they opening up doors for you and being in the reference design? Is it -- Is that helping your market penetration?
Austin Russel : Yeah, I'd say there's no question that platform providers Nvidia included or accelerating, or helping to accelerate market penetration, that's really the core objective is building the right ecosystem of key partners and reference designs and other stuff. It's an incredible amount of work.  It's not just a walk in the park where, a couple of companies say they work together, and then just walk away. It's a lot of deep integration and intensive amount of work that has to happen on a day-to-day basis for all this are, like literally day-to-day and week-to-week manage.  So, but yeah, there's no question that's part of the objective. And, by the way, I think ultimately, these things work both ways, as well for both of us or partners generally.
Gus Richard: And then just by the end of 2022, can you give a sense of how many production models will be shipping to your customers as in one model five? Any color there?
Austin Russel : I don't think we can give specific commentary for OEM vehicle lines yet until they unveil it?
Tom Fennimore : Gus, your question, our OEM vehicle models, like our customer vehicle models or your questions how many different variations of Iris?
Gus Richard: No, the question is, you've got, say a Volvo win? 
Tom Fennimore : Okay. So yeah, that was the one that Austin answered. I cover it the other one.
Austin Russel : But there's going to be a lot of head on that. There's some exciting lineups that's for sure. By the way, one of them, -- part in the background totally coincidental. Now is the new Mercedes EQS. That's an incredibly beautiful car. That's there. And it goes to show like for the next gen EV lineups of these different brands is there. It's impressive stuff. So I think it'll be -- it's not going to disappointing with different OEMs for that matter, but the other ones that we're working with for sure. 
Gus Richard: Got it. Thanks so much. 
Trey Campbell : Thanks, Gus. Next question comes from Michael Filatov at Berenberg.
Michael Filatov: Hey, guys. Thanks for taking my question. So two questions. The first one, I mean, you kind of just referenced it is related to the Mercedes win, right? I'm curious if you could just clarify just whether or not that is a concrete supply agreement, that's in contracts for specific models and a specific start a production timeframe? And if so, how many models that could potentially encompass? And were you involved in an RFQ process for that, when just how that relationship evolved?
Tom Fennimore : Yeah. So Michael, the answer to that is, without going into too much detail, but I think it's fair to say that Mercedes did a very extensive study, not only of our technology, but the other ones out there. They made a conscious decision to work with us. We have a lot of detail, which I'm not going to go into in an agreement that we have with Mercedes-Benz that's executed.  You'll see in our 10-K tomorrow, that we have two customers that comprise north of 10% of our revenue in 2021. One of them was Volvo, the other one is Mercedes-Benz. And so we are working extensively with Mercedes-Benz to develop our technology to the point where they're going to deploy on production vehicles.  We have a list of production vehicles and timing. We're not going to talk about it because Mercedes-Benz doesn't talk about it. But that list does exist. And they would not be paying us as much revenue to work with us if this was just a science project, as opposed to something serious with the goal of putting this on vehicles that they're going to sell to the consumer.
Austin Russel : So straight to the point answers. Yes, yes. Yes. 
Michael Filatov: Understood. Fair enough. All right. And one other quick one, I just I was looking back at your results back presentation. It showed, you know, expectations for D-sample production in Q1 of this year, and then series production by Q3 of this year. It seems like -- I don't know if it was something to do with you guys and your customers.  But maybe the timelines got pushed back a bit. Because I took that to mean series production is going into vehicles in the back half of this year. And then it seems like you're currently C-sample. I mean, it's the expectation to get the D-sample middle of this quarter. I mean, we're nearly there. But has anything pushed that timeline back in terms of the product development and the actual series production launch. 
Tom Fennimore : No, it's effectively tracking to it. I mean, the objective is to be able to get to series production by the end of the year here, that's the big, the big launch that I think it's been public with our first series production OEM in terms of what they've talked about for that timeline. So we're deeply aligned as it relates with them and others to be able to ensure the successful launch by the end of this year.  So I would say that there's probably plus or minus a few months of in terms of how people, customers will qualify different stages differently of their respective programs. For example, a lot of our customers don't actually use the same kind of sample terminology and other stuff than we did. There's like they have custom, they have different sets of milestones that go in through the validation. But effectively, the way to think about it is that this year is all about a refinement and validation of the industrialization process. That's what it's all about in preparation for the release production.  So we're all in on that as it relates to core technology to design everything for the product. That's done. And that's where -- we still have, there's still optimizations to be done in terms of what we need to do get cycle time down, and all that other stuff. But that's all on track, in terms of what we need to do for series production. 
Michael Filatov: Understood. Alright. Thanks very much, guys.
Trey Campbell : Thanks, Michael. Appreciate it. Next question comes from Dan Levy of Credit Suisse.
Dan Levy: Hey, good evening. Thanks for taking the questions. First, just wanted to start with a question on a comment in your deck about the cash use in ’22. So you're guiding for cash spend to be slightly higher, year-over-year. Usually, in autos when a company is approaching commercialization for a new product, the cash then accelerates more significantly, and you're taking on new customers as well. So why is it that it's only a moderate increase, as opposed to white? What might be more significant? Or is it just something about you've already incurred that spend, or there's just efficiency?
Tom Fennimore : It's a great question, Dan, and you are correct. And my reply to you would be, if you look at our 2021 cache ban relative to 2020, it doubled. And so we're not going to double it again this year. We're going to grow it modestly from here. And so, I would argue, if you actually look at the spend relative to 2020, you see that significant increase in investment that you would typically see in the automotive industry.  And so we've been working on our industrialization plan now for going on two years and the growth in our investment has reflected that.
Austin Russel : Well, and I’d also say that I do think that this this is important is that this is not -- this is also not my -- it's -- don't get me wrong, it's like super easy to be able to spend twice as much, three times as much four times 10 times as much money when it comes and we see other companies that have been trying to do this and didn't actually even far earlier along that curve.  And the answer is you have to, like -- we were extremely intense about driving extreme efficiency with everyone from when it comes to a financial standpoint, across the board here too. This is not -- that said, there are still significant investments that need to be made. It is incrementally higher. But I think to the point is, is that we've effectively gone from what three major commercial wins to now we're at 10.  But our spend is only increasing moderately. So it will be like -- that's crazy. That wasn’t even possible. And there's one simple answer, which is standardization of the product. This is very different in the pretty much almost all other types of companies in the automotive supply chain. Because we have standardization of this kind of technology. Everyone's going through the same technology that we have. It's the same product. It's the same core system that's there.  Obviously, there's work they've done integrating the different vehicles, different systems there. But there's an incredible amount of unification. And even for a couple of stragglers that we had that had deviations that would end up with significantly greater expenses for this coming year. Actually, just over the past quarter, we actually -- it’s entirely unified under the exact same product track and roadmap that we were doing. So that probably avoided hundreds of millions of dollars worth of expenses there.  So there's the -- it didn't just fall into our lap. It's been a very intentional, incredibly intensive exercise to get it this level of efficiency. But it's something that we're also incredibly proud.
Dan Levy: Great, thanks. And then the second question is just unpacking the order books. I think you're essentially guiding to -- you ended the year at just over $2 billion and you're guiding to be just under three. So a couple points on this, a couple of questions. Should we expect an additional inflection of the order book as you start commercialization? I mean, is that just going to continue to bring in more programs? Or is that just going to track what commercial programs you have?  And then the second, maybe you can just give us some sense of what that order book comprises of now in terms of hardware versus software split? Because I think you were talking -- and I noticed that you'll give us a 2025 update later in the year. But how you're tracking to being call it half software hardware? Thank you. 
Tom Fennimore : Well, I think from memory, I don't have the numbers here in front of me, but I think it was a little less than half for the software. We haven't disclosed, nor do we plan to what the breakout is the order book between hardware and software. But what I would say is that software element and the software percentage continues to increase. And we expect it to continue to increase overtime.  Remind me your first question again?
Dan Levy: Just how should we expect the order book to trend, as commercialization begins? Is it just as you have more programs, it's going to linearly increase? Or --
Tom Fennimore : So here's what I would say, when you actually kind of look at the dynamic and what really moves it. Clearly, there's some correlation between major commercial win growth and order book growth. What I would say, though, that dynamic is the initial programs that we win with a customer, the first time tends to be more on the small side in the big side. And what do I mean by that? The trend and I think you play that see this play out with Volvo is our initial one with Volvo was as an option on the XC-90 Successor. Then it moved into standardization on that.  And then from there, we expect to win more and more programs from Volvo overtime. And so the first win with a customer that counts to the major commercial in total, but it's not, I would say, not going to have a huge impact on the order book, initially. What drives that really, what drives the exponential growth in the order book is standardization, and really winning more and more and more business, and an existing customer and not roll, not only rolling it out standardization among a specific vehicle program, but rolling it out of standardization on every vehicle that that OEM produces.
Austin Russel : So there's really three ways that your order book increases. One is new major commercial ones new customers, altogether two is additional programs to an existing customer three is increase in volume for the programs that are already one. By the way, number three is not to be underestimated on this is that, this is where I think I think we even mentioned at one point last year, that part of the driver behind a higher order book was actually people increasing the volumes on the existing programs that are there.  And I think that that's a general trend, I don't think we've actually seen anyone decrease the kinds of target volumes in terms of what they're planning for the models. And actually, it's really been a general trend of increasing it, as people have realized the significance of this. And by the way, everybody's competing with each other. They all want to be one upping each other too. So that that certainly doesn't hurt, as Tom mentioned earlier. But for good reason. I mean, it's like people can't afford to just be static anymore. They have to be able to move and move quickly. It can't -- this can't be a traditional automotive adoption cycle. That's like seven years long. That's why it's accelerated so quickly.
Dan Levy: And sorry, just to clarify on what's already in the order book and what you're guiding to. It sounds like that that's only reflecting very slight benefit from standardization, meaning you're not seeing any of the benefits yet from standardization in the current order book or the guidance correct.
Tom Fennimore : So let me give you an example, which I think answers your question. At the end of 2020, our order book was only us being an option on the Volvo XC-90.
Dan Levy: On the one model. 
Tom Fennimore : On the one model, at the end of 2021 it was the standardization on that one model. The XC-60 and all the other vehicle models that Volvo makes, other than the XC-90 are not in our order book. We're very confident as a management team that we're ultimately going to win that business Volvo has made public comments that that's our intention too. None of that is in order book yet, because we haven't officially been awarded that. Only stuff where we've been written agreement and agreement with our customer.
Austin Russel : There's contract. And by the way, that is a distinction versus what many others have provided in some of the EV space or LiDAR space or whatever it is for order books where it's just like assuming standardization on some preferred things or without any agreement or whatever, maybe.
Tom Fennimore : There's a lot of business out there for us to go get from Volvo and other OEMs right of existing business, which isn't in our order book yet. 
Austin Russel : Yeah, yeah, exactly.
Dan Levy: Thank you. 
Trey Campbell : Hey, thanks, Dan. And, thanks to everyone for joining our Q4 business update. We look forward to talking to you again at the end of Q1. And with that, Kevin, if you can please close our call up. 
Austin Russel: Thank you, guys. 
Tom Fennimore : Thanks, everyone.